Executives: Donald W. Palette - Chief Financial Officer, Principal Accounting Officer and Vice President Stephen Ferranti -  Liam K. Griffin - Executive Vice President and General Manager of High Performance Analog David J. Aldrich - Chief Executive Officer, President and Director
Analysts: Cody G. Acree - Williams Financial Group, Inc., Research Division Alex Gauna - JMP Securities LLC, Research Division Edward F. Snyder - Charter Equity Research Craig A. Ellis - Caris & Company, Inc., Research Division Aalok K. Shah - D.A. Davidson & Co., Research Division Dale Pfau - Cantor Fitzgerald & Co., Research Division Nathan Johnsen - Pacific Crest Securities, Inc., Research Division Ittai Kidron - Oppenheimer & Co. Inc., Research Division Edward Snyder - Charter Equity Research Sanjay Devgan - Morgan Stanley, Research Division Parag Agarwal - UBS Investment Bank, Research Division Vivek Arya - BofA Merrill Lynch, Research Division Sujeeva De Silva - ThinkEquity LLC, Research Division Blayne Curtis - Barclays Capital, Research Division Jonathan Goldberg - Deutsche Bank AG, Research Division Todd K. Koffman - Raymond James & Associates, Inc., Research Division
Operator: Good afternoon, and welcome to Skyworks Solutions Fourth Quarter and Fiscal Year 2011 Earnings Call. This call is being recorded. At this time, I'd like to turn the call over to Steve Ferranti, Investor Relations for Skyworks. Mr. Ferranti, please go ahead.
Stephen Ferranti : Thank you, Matt. Good afternoon, everyone, and welcome to Skyworks' fourth fiscal quarter 2011 conference call. Joining me today are Dave Aldrich, Don Palette and Liam Griffin. Dave will begin today's call with a business overview, followed by Don's financial review and outlook. We will then open the lines for your questions. Please note that our comments today will include statements relating to future results that are forward looking as defined in the Private Securities Litigation Reform Act of 1995. Actual results may differ materially and adversely from those projected as a result of certain risks and uncertainties, including but not limited to those noted in our earnings release and those detailed from time to time in our SEC filings. I would also like to remind everyone that the results and guidance we will discuss today are from our non-GAAP income statement, consistent with the format we have used in the past. Please refer to our press release within the Investor Relations section of our company website for a complete reconciliation to GAAP. With that, I'll turn over the call to Dave for his comments on the quarter.
David J. Aldrich: Thank you, Steve, and welcome, everyone. I'm pleased to report a strong finish to our 2011 fiscal year with another consistent quarter of execution by the Skyworks team. We exceeded our prior guidance and we secured a steady flow of new design wins, building upon an already solid foundation for 2012. With this pipeline in place, Skyworks is well positioned to further expand its market leadership in 2012 and beyond.  Specifically during the quarter, we delivered record revenue of $402 million, which was up more than 28% year-over-year and up 13% sequentially. We expanded our profitability and delivered strong operating leverage, producing fourth quarter operating income of $109 million, and that's up 34% year-over-year, and we earned at the same time $0.54 in diluted earnings per share. We generated $123 million in cash flow from operations.  Our fourth quarter results closed out a strong fiscal '11 -- 2011 for Skyworks. And to put our results in perspective, on an annualized basis, we posted 32% of revenue growth. We expanded our market share, and we are now the established, clearly established leader in mobile connectivity. In fact, we grew our 3G front-end module shipments by more than 150% over the course of the year, and we increased our operating income by 56% and we improved our returns by over 400 basis points. We generated $366 million in cash flow from operations and we exited the year with $411 million in cash on the balance sheet. And we created meaningful economic value with the return on invested capital of just over 23%. And this incidentally is more than double our weighted average cost of capital.  So in retrospect, fiscal 2011 marked a year of significant progress for us, and our fundamentals remain solid and sound and our design win momentum continues to build. However, as a diversified company, we are not completely immune to the global economic macroeconomic forces. In the near term, we do see pockets of industry softness and we see more cautious ordering patterns impacting our business. Our Q1 outlook reflects the effects of this environment, offset by key program ramps at specific customers.  To be more specific, we have recently seen more tentative order activity within certain segments of the Android smartphone market, and we've recently seen some signs of sluggishness in smart energy in North America wireless infrastructure. We believe these factors are a function of the current global macroeconomic environment and represent a temporary market pause within a larger long-term growth trend. Given this, we believe that guiding slightly down on a sequential basis is warranted.  Beyond the current period, our strategic growth engine remains firmly in place. Global adoption of smartphones continues to be robust and is being quickly followed by a growing tablet adoption cycle. Moreover, wireless functionality is becoming embedded into a seemingly unending array of new applications. This proliferation of embedded wireless will drive a tremendous increase in the number of connected devices over the next few years. In fact, GSMA recently released research which suggests that the number of mobile connected devices is expected to reach 12 billion by the year 2020. That's twice the number in service today.  Equally as important across all categories of mobile Internet devices, RF complexity and dollar content continues to rise. This is driven by an increasing number of radio frequency bands, a broad array of protocols and multiple simultaneous modes of operations. All of these growth engines are long term in nature, and they're still in the early stage of playing out, providing time expansion opportunities across our markets in the coming years.  And digging a bit deeper into our market drivers, smartphones are entering the stage of mass market adoption globally and becoming even more integral to consumers' daily lives, folding in the functionality of traditional mobile phones, always-on internet connectivity, social networking, portable gaming, digital cameras, HD camcorders and even mobile payment systems, and the list goes on and on. Our customers, in fact, are segmenting features, price points and data plan options to facilitate a migration from high-end business units to more mainstream consumers and ultimately to the emerging markets. So leveraging our leading edge analog solutions, we are actively engaged across this entire ecosystem, uniquely supporting all mobile operating systems and all baseband suppliers.  Within the high-end performance segments specifically, we see a strong flow of LTE-based devices for 2012, many of which is supporting -- or support global roaming and include a combination of multiple LTE bands, along with full backward compatibility to 3G and 2G. In fact, the high-end LTE platforms we are currently architecting for 2012 are some of the highest dollar content devices we've ever supported, with some containing as many as a dozen addressable Skyworks sockets. These high-end devices demand very high RF performance and they tend to rely on highly complex front-end architectures, with very stringent performance-driven specifications. And this plays directly to Skyworks' competitive advantages as evidenced by our early move of position in LTE.  Now at the other end of the spectrum, the sub $150 smartphones are enabling a major upgrade cycle, with prepaid in emerging markets where there is a large embedded base of 2G phones. Now if you look back just a few years ago, we were talking about how the first phone call made by many subscribers in developing countries would be on a mobile phone. And as we see today, this projection has turned out to be overwhelmingly accurate. But similarly, we believe that these same subscribers will access the Internet for the very first time from a low cost smartphone. We see this segment driving a significant expansion in our TAM as 2G feature phones, which today contend less than $1 of content, of RF content as they migrate to entry-level smartphones, which have more than 3x an increase in the addressable content. And in fact, Skyworks benefits from its long history as a supplier in this segment, leveraging deep integration capabilities, our scale and the industry's lowest cost structure, to extend our existing leadership position in this market.  Tablets also represent another significant incremental opportunity for Skyworks. By some analysts' forecast, the tablet market could grow to over 200 million units by the year 2014, which would represent almost $500 million in addressable content. And Skyworks is playing a key role in the evolution of the tablet market. Within this segment, our current engagements and our product portfolios spanning cellular, 3G, 4G and wireless network connectivity provide us with the broadest footprint in the industry. In fact, Skyworks' products are currently designed into virtually all of the world's leading tablets on the market today.  Okay, now turning over to the fourth quarter highlights. Specifically, we ramped multimode, multiband, front-end solution for our Samsung's Galaxy SII smartphone and tablet platform. We commenced shipments for key models of Samsung's Android-based Nexus S smartphone, which include a Skyworks sweep of the entire front end. We've supported ZTE's ramp of its next generation tablets and notebooks with EDGE, WCDMA and LTE front-end solutions. And we've captured a key front-end content in Nokia's forthcoming Windows-based smartphone platform. And finally, we're very excited to be ramping our LTE power amplifiers and our high-performance switches in support of Motorola's DROID RAZR 4G smartphone.  And at the same time, our high performance analog product lines or HPA are gaining traction across an even wider array of end market. The various applications served by these product lines is expanding, ranging everything from military radar to wireless infrastructure to smart appliances, electronic toll tags and hearing aids. I think its one recent examples, Skyworks offers a complete portfolio of solutions for the connected home market, enabling delivery of HD video, high-speed data and multimedia distribution via fiber, hybrid fiber coax or direct broadcast satellite networks. This innovative portfolio is highly complementary, obviously, to our wireless business, and it includes products like modulators and demodulators, mixers, high-isolation switches, digital and voltage variable attenuators, detectors, hybrid couplers and more. In leveraging this broad portfolio, we were recently awarded multiple sockets within a number of Cisco's home multimedia gateway products. These new design wins leverage a suite of Skyworks products, including our digital attenuators, switch blocks and amplifier products.  And just to go on, during the quarter, we also captured wins across a number of other diverse applications. And specifically, we commenced volume production of advanced antenna switch modules or ASMs supporting Huawei suite of 3G data cards. We also have ramped shipments of 802.11a, b, g and front-end modules with multiple LED high definition television manufacturers. And we secured production orders for our MRI signal switch matrix with Siemens Healthcare. This application uses 800 of Skyworks' multithrow switches in a single MRI scanner. And we supported Tier 1 home security solutions with multiple ODMs using our fully integrated Zigbee front-end solutions. And we believe these applications clearly demonstrate our success in diversifying our business into highly profitable, new adjacent market segments for us.  So with the market working its way through the current business cycle, it's worthwhile taking a step back to refocus on a long-term opportunity. In short, the Internet -- the mobile Internet is supplanting the wired Internet on a global basis and the proliferation of wireless networking connectivity technologies like 802.11, like Bluetooth, Zigbee and GPS, is expanding across a broadening array of non-handset applications, including Blu-ray players, gaming consoles, LED TVs, high-power access points, enterprise routers and network PCs. And cloud computing is driving ever increasing demands for consumers to be connected all the time, at all times. Performance requirements and technical complexity are rising, and our RF content -- and the RF content continues to increase. All of these positive market dynamics are still in the early earnings. And as the market leader in wireless connectivity, the opportunity for Skyworks has never looked better.  And with that, I'll now turn it over to Don for his review.
Donald W. Palette: Thanks, Dave, and thanks for joining us, everyone. We appreciate it. I'll first provide a quick summary of our fourth quarter results and then outline our business outlook for the first quarter of fiscal 2012.  Revenue for the fourth fiscal quarter was $402.3 million, up 28.4% year-over-year and 13% sequentially. Excluding our SiGe acquisition, we grew 18% year-over-year and 6% sequentially. Gross profit was $179.7 million or 44.7% of revenue, representing a 90-basis-point year-over-year expansion.  Operating expenses were $70.3 million, including R&D expense of $42.4 million and SG&A expense of $27.9 million, yielding $109.4 million of operating income and a 27.2% operating margin.  Our net interest expense and other income for the quarter was $555,000 of income, while cash taxes were $6.1 million, translating into a 5.6% tax rate.  Net income was $103.8 million or $0.54 of diluted earnings per share, a penny better than our guidance.  Turning to our fourth quarter balance sheet and cash flow statement, we generated $122.8 million in cash flow from operations, our best cash generation quarter in the history of the company. We invested $15.3 million in capital expenditures. Our CapEx is now approximately back at steady state levels and is roughly in line with depreciation, which was $16.7 million. As a result, our free cash flow during Q4 was $108 million. We ended the quarter nearly debt free, with $411 million in cash after accounting for a repurchase of 500,000 shares of stock during the quarter.  It is worth pointing out that the business model we have in place is generating significant cash flow for the company and at the same time creating economic value. As a measure of this, our return on invested capital for 2011, including excess cash, was 23%, roughly twice our weighted average cost of capital. And in fact, for fiscal 2011, our ROIC improved by approximately 600 basis points year-over-year.  For sometime now, we have maintained a strategic objective of delivering financial returns comparable with those of the best diversified analog players, along with top line growth of the mobile Internet. Our financial results highlight that we have taken major strides towards this goal. These healthy financial terms are the direct result of our focused business strategy, which combined scale advantages and a flexible manufacturing model to generate significant financial leverage in our business model. We expect to continue to post strong shareholder returns to our fiscal year 2012 and beyond.  Now for our first quarter 2012 business outlook. We are guiding revenue to be up 16% year-over-year to $390 million. At this level, we suggest modeling gross margin in the 44% to 44.5% range, with operating expenses of roughly $69 million. Below the line, we expect $200,000 of net interest and other expense. We expect our cash tax rate for Q1 and for fiscal year 2012 to be in the range of 8.5%. As a result, we expect our non-GAAP diluted earnings per share to be $0.50 on a base of 191 million shares.  That concludes our prepared remarks and so operator, let's open the line for questions.
Operator: [Operator Instructions] And the first in queue today, we will hear from Ittai Kidron with Oppenheimer.
Ittai Kidron - Oppenheimer & Co. Inc., Research Division: Dave, can you talk a little bit more about the weakness that you've seen? I'm trying to understand in your interpretation how much of it is soft demand. Or is it just that the vendors you're shipping into are having competitive challenges? And as a second layer to that question, do you feel like you're holding your share with those vendors? Or do you think there's a market share, your own market share problem evolving as well in some of those vendors?
David J. Aldrich: I think the first part of your question, Ittai, is we've seen typically a layer in the quarter. We began to see some evidence to some of Android customers not quite as aggressive going into the December quarter. We've also seen some pretty significant softness in infrastructure. I think that's been pretty well publicized. As you know, our HPA business is very broad. So we've seen some softness in energy management. We've seen some softness in infrastructure. Offsetting that is we are ramping. We're ramping at Samsung. We're ramping it, as we discussed in our prepared comments. We're ramping at HTC and ZTE. We're ramping in Huawei. So if I look at it, we see those as the primary drivers behind our Q1 guidance, and we think it's prudent to be conservative. There's an awful lot of sort of macroeconomic chop out there, and we see that a little bit in the channel. And I would answer no, that we don't believe we're losing market share. Our position with those customers are strong and there are a lot of exciting platforms that are being led during this period of time and into 2012, and we're quite well positioned.
Ittai Kidron - Oppenheimer & Co. Inc., Research Division: Okay, very good. And Don, can you talk about your linear business. I mean, was it up in September? And do you expect it to be more -- I mean, you guided the company to be down 3% on a sequential basis, if I'm not mistaken. But would you expect that business to be down more than 3%? Can you give us sort of like more or less where the different pieces are moving between the cellular business and your linear business?
Donald W. Palette: Yes, we ended up, Ittai, for the quarter at approximately 30% linear, or HPA as we referred to it, and 70% handset smartphones. And there isn't anything in our current projections that would indicate that, that percentage is going to change significantly in the short term.
Operator: Moving along, we'll go to Alex Gauna with JMP Securities.
Alex Gauna - JMP Securities LLC, Research Division: I just wanted to clarify. You said there was some weakness in Android, but you said Samsung is up. So I'm assuming that, that means the Android softness you're seeing is excluding that customer? And I was wondering if you could also perhaps also comment -- I know it's a delicate topic -- but the iOS operating system, whether you'd expect that out flat or down?
David J. Aldrich: I think it's not Samsung, so you're right about that. And we really can't comment on the iOS operating system. I think those numbers are fairly well publicized, and they've given their own guidance.
Alex Gauna - JMP Securities LLC, Research Division: Okay. And then the net of it all, your guidance is actually quite a bit better than most peers are demonstrating right now. I'm wondering what your backlog coverage for that is? And then also perhaps if you could look out in Q1 based on some of the new pipeline products, particularly in the LTE area. Would you expect to continue to be able to outperform either in the industry or seasonality, if you could comment on that?
Donald W. Palette: Alex, this is Don. As far as backlog coverage, as you know we always talk about, we take a very typical -- a very conservative approach to the forecasting. And as we're entering into the quarter in the current fall, we currently have 100% coverage and that's both a combination of booked from purchase orders from customers and then the hub pulls. That combination is at 100%.
David J. Aldrich: And I think, Alex, the second part of your question. As we look ahead in the March quarter and so on, December. Clearly, there is some uncertainty in the macro environment. We've seen that in the order pattern in some of our customers. Smartphones, you're right, is an area of relative strength. We've got some pockets of varied -- a lot of strength in our HPA business. But obviously, we're quite diversified. So we're not immune from that overall macro market chop. So bottom line, I said you'd expect to see a bit of normal seasonality in the March quarter. And as for the reasons we described in our prepared comments, we do expect to take share in 2012.
Operator: Moving forward, we will go to Parag Agarwal with UBS.
Parag Agarwal - UBS Investment Bank, Research Division: I just wanted to get a better understanding between the 2 moving parts, that is your linear business and the handset business. Would it be right to say that your linear business outgrew your handset business during this quarter?
David J. Aldrich: Yes, that's correct.
Donald W. Palette: That's correct.
Parag Agarwal - UBS Investment Bank, Research Division: And regarding your guidance, if you look at the guidance of many of them -- a lot of companies and also some of your competitors, their linear business guidance is down significantly, almost double digit going forward. Any idea of what your linear business is going to do in the December quarter?
Liam K. Griffin: Sure. As Don mentioned, I mean, we should probably be on par with the overall company guidance. And as you know, there has been some weakness in the channel in general. And in many cases, while performing in the end markets, we're still seeing some growth in market. So specifically, our GPS portfolio, which is a new launch for us. Our wireless LAN business is very strong right now. And with SiGe under our wing, we have a design pipeline that's really going to carry us forward in 2012. And there are a number of new products in ASM, antenna switch modules, that are giving us some upside. So we are -- as much as this quarter had some headwinds and we're going to be close to our corporate average, we are outperforming much of our peer group.
David J. Aldrich: And I think the way to look at it in September and December, just to add on Liam's comments, we do see on infrastructure, we see smart energy down, mobile connectivity up. So I guess, I'll characterize it a little bit more broadly. I think that the traditional component business and what you'd think of our HPA business is down and seeing some of the same dynamics. But we have a host of new product platforms that we've been driving into the market the last 6 months. And those are up. They're coming from their infancy, but we have broadened our footprint here quite a bit. We mentioned some of those in the prepared comments. So that's what we're seeing, relative growth and it's offsetting some of the more sort of broad-based weakness.
Operator: Moving along, we'll go to Craig Ellis of Caris & Company.
Craig A. Ellis - Caris & Company, Inc., Research Division: I have just one further clarification on the Android issue. Can you clarify if what you're seeing is overall in handsets or if there is any divergence in trends between smartphones and future phones? And is tablets playing a part in the order softening that you're seeing there?
Liam K. Griffin: Yes. Craig, it's primarily handsets. I would say it's more mid-tier feature phone then smartphone. Tablets in general, we're very bullish on tablets. I think we're going to have a -- we have a very good position this year. We're going to continue to gain next year regardless of operating system. We think that's a great market for Skyworks. So that's the way we would characterize that.
Craig A. Ellis - Caris & Company, Inc., Research Division: Thanks, Liam. And Don, can you just let us know where you were from a utilization standpoint in the third quarter and what should we expect for 4Q?
Donald W. Palette: Sure, Craig. Again, we always like to separate these really 2 types of utilization that are important to us. And one is sort of your line utilization, and we expect that to be pretty much at capacity. It wasn't in our September quarter, and it will be through December. We still have some square footage available. And most of our facilities allows us with some small CapEx investments to move forward. The key to this is the hybrid model. And as we see any ramps or any softening in the market, what we do is we either upload more business outside to our supply base for both wafers and assembly and test that will bring that back in. So that's how we flex and how we remain competitive. And we're able to drive best-in-class margins regardless of the cycle.
Operator: Next in queue, we'll hear from Cody Acree with Williams Financial.
Cody G. Acree - Williams Financial Group, Inc., Research Division: Maybe a couple of things. I just spent some time on the comparable markets on the converged opportunity, the multimode opportunity. It sounds like that's beginning to be a bit more of a driver and definitely a different tune, I think, from you guys in the industry and that we heard a year ago. Can you just talk about what customers are doing there and what you're seeing that as maybe a changing opportunity versus maybe a few quarters back?
David J. Aldrich: Well, I think that the MMMB or the multimode integrated PA opportunity continues to be strong. I think the market has in many ways, bifurcated from the MMMB for sort of, maybe the mid to low tier and then more performance-driven products that are increasingly hybrid with a lot of discrete content. We're seeing increasing push for more performance and more content overall, driven by the proliferation of bands. And there's a lot more content that we're addressing, for example, we are now ramping ASMs. We expect to be a major player in antenna switch modules. GPS LNA products, WiFi mobile connectivity products, in addition to the content that you would normally think about, from Skyworks coming in and sort of the PA transmit front end. I would say, it is very much what we have been talking about in the past. We see customers that are remaining with hybrid and discrete designs. And in fact, that segment is growing and it's performance-driven and it's tablets and it's high-end smartphones. We also see the push for the $100 and sub-$150 smartphone driving more creative levels of integration in order to just drive more cost out. Some of them are pretty creative. And that will be displacing more of a 2G market sets. So I don't think there's been any difference in our outlook on the market, other than performance, current consumption size. Everybody is looking at that concern with it, looking for the ultimate solution for that. But they're unwilling to give up performance for size.
Cody G. Acree - Williams Financial Group, Inc., Research Division: And then secondly, there's been some comments from some of your competition about capacity in the industry that there's some excess capacity overall, and that's likely to lead to some increased aggressive pricing competition. I guess, what's your view on that?
David J. Aldrich: Well, the pricing we're seeing right now, continues to be sort of in the high single-digits. Last year, I think, Don, it was a little bit less than 8%.
Donald W. Palette: That's right.
David J. Aldrich: Part-to-part year-over-year. We track that at nauseam by the way, and we're running that now. It tends to run in the 8% maybe 9% sometimes. It doesn't hit 10% in aggregate, that’s being offset obviously, by much more content per platform or more dollars of revenue and more dollars of margin it continues to march up with. So I think that continues to be the trend.
Liam K. Griffin: And Cody, just to -- as that relates to where we are in profitability, the ASP erosion is not new for us. We're very accustomed to dealing with that. And our year-over-year cost reduction has typically offset the erosion and all you have to do is look at the margin expansion history we've had to show that. So this is something that we pretty effectively deal with as we grow the business model and the returns to the business.
Operator: Moving forward, we will go to Sujeeva De Silva with ThinkEquity.
Sujeeva De Silva - ThinkEquity LLC, Research Division: First question on the mix. It seems like linear was up a little bit this quarter. How do you think that mix will play out as we go through fiscal '12, linear versus handset?
David J. Aldrich: Well, I think that the -- as Don suggested, we're seeing some softness and some relative strength in both our smartphone and mobile Internet space, as well as HPA. And so we're looking at not seeing a shift or any meaningful shift in the December quarter versus what we saw, that 70/30 split. As we look out throughout the year, I mean, it varies a little bit quarter-by-quarter. Typically, in the second quarter, you see a little bit more seasonality on the mobile space than you do in a more diversified HPA. So that can move the dial a little bit. But as we go out throughout the year, we expect to see a resurgence in some of the Android customers we talked about and our wireless business moving throughout the year. There's an awful lot of opportunity out there. The dollar content is high. The margin is good. So we think we're really going to see strength throughout the year, building throughout the year, based on these designs and these new platforms. And we've got pretty high aspirations for HPA. I guess it's a long-winded way to say I wouldn't model the split to be much different.
Sujeeva De Silva - ThinkEquity LLC, Research Division: Okay. Now that's very helpful. And your bullish on Android phones, is some of that coming from 3G entry phone side. Can you talk about when should there be unit TAM there as your share opportunity is, as we go forward?
David J. Aldrich: The unit TAM is -- there's 2 ways to look at it. An entry-level smartphone has less unit TAM than high-end smartphones, so the number is perhaps 2 or 3 to 1 in a high-end smartphone. Let's call it an even $9 or $10 in a very high-end device, high-end product when you sweep in the mobile connectivity, as well as the bands of LTE and 3G so it's $10 or so. If you look at a low-end smartphone, that number is maybe $3. If you look at the antenna or the switch -- the antenna switch module, the power amplifier, the filters. There are fewer bands and those bands tend to be more integrated and the multimode device are more integrated in that case. But I guess I look at that $3, not as, gee, it's too bad it's not $10. I look at it, boy, I'm glad it's not $1, which is what it's displacing, it's displacing $1 GPRS devices on the ultra low-end feature phone side.
Operator: Next question in queue will from Vivek Arya with Bank of America Merrill Lynch.
Vivek Arya - BofA Merrill Lynch, Research Division: Dave, can you help us understand your sales mix, in terms of smartphones versus feature phones versus traditional 2G phones and how it has sort of trended over the last few quarters?
David J. Aldrich: Yes, the breakout by interface is that our 2G was roughly 30% this quarter and EDGE, WCDMA roughly 70%. Last quarter, that was 31%, 69%. So it's relatively flat to last quarter.
Vivek Arya - BofA Merrill Lynch, Research Division: And smartphones versus traditional?
Liam K. Griffin: Yes, we don't normally split that. I think that you're seeing a lot more content per unit in smartphones. But obviously, the unit count is a little bit slower there, so it may be Smartphone's 50-50 versus feature phone.
Operator: Next question in queue will be from Blayne Curtis with Barclays Capital.
Blayne Curtis - Barclays Capital, Research Division: I know you don't want to guide for March, but I was wondering if you could talk about some of the headwinds that you saw or seeing in Q4, if they continued into the March quarter, outside of just normal seasonality?
David J. Aldrich: Well, it's difficult to say. And you're right, we don't guide the March quarter. It's hard to handicap what we're seeing in a macro environment. Of course, that's sort of -- that concern about the macro environment oftentimes says, it's a psychological effect that impacts ordering patterns and so we saw a little bit of that in December, just leaning out the channel a bit. I don't see anything that leads me to believe it's not going to be sort of a net 10% to 15% marked seasonality. I think the strength being in smartphones, which continue we believe to chug along and add growth for us, we see the platforms that we discussed and some of the newer stuff that's offsetting some of the general market softness. But clearly, there's some uncertainty in that environment that we need to keep an eye on. So we're thinking about normal 10% to 15% seasonality with those puts and takes.
Blayne Curtis - Barclays Capital, Research Division: I got you, helpful. And then, I apologize if this was already asked. But just a clarification, the 6% sequential growth without SiGe. Did you comment whether linear was up or down within that 6%?
David J. Aldrich: In September, linear was up.
Operator: The next question in queue will be from Nathan Johnsen for Pacific Crest Securities.
Nathan Johnsen - Pacific Crest Securities, Inc., Research Division: Two quick ones. Just firstly, on the SiGe acquisition. I know you guys have basically incorporated that into the business. I wanted to see how that part of the business is tracking relative to expectations. And specifically, if you guys have seen any traction on smartphones with SiGe. I know traditionally, they had been more in laptops, but I think smartphones have been an opportunity. And then secondly, just on potential changes in the competitive environment, I'm just curious if you're seeing anything there. It seems like of Avago has picked up some steam on PAs and RDA seems to have gotten some good momentum in China. So I just wanted to see your view on competitive environment?
Liam K. Griffin: Sure. Nathan, this is Liam. With respect to the SiGe acquisition, it's going extremely well. The design win footprint is continuing to expand. And to your point, one of the real synergies with this deal was taking Skyworks sales and marketing presence across smartphones and tablets and some of the major Tier 1s, and leveraging the strong portfolio brought forth by SiGe. We're doing that today. A lot of that is not on the numbers yet. It will be more forward-looking into 2012. We now have traction and we can see design wins coming forward in tablets and in new smartphone accounts. There's a solid base business in gaming. We're starting to win in Internet-enabled TVs, Blu-ray players, just a whole proliferation of products. And earlier, we talked about margins. I can tell you that we are adamantly committed to raising the gross margin net portfolio to be at least as good as corporate average if not higher. And thus far, this has been a great deal. And I'll tell you that there'll be a lot more to tell you, a lot more about that as we move into 2012 and these design wins go into production.
David J. Aldrich: And in terms of the competition, Nathan. I think on the ultra low-end, we had an earlier question about pricing. And on the ultra low-end of the market, let's call sort of 2G mostly China, India, Central America. We have products, that's where we see the most competition. That's where we would see RDA for example. We have products that offer better performance. We also have what we believe the industry's lowest cost structure. We tend to go at the ultra low-end of the market where performance really doesn't matter that much. And we go at that whether these CMOS devices are ultra low-cost [indiscernible] devices. And then where performance becomes even a little bit more important, we tend to see more differentiation, less commoditization and it's easier for us to compete on the basis of performance. I think in the other aspects of the market, our relationship with the top OEMs, I think is pretty well-known and it's strong. One of the things that we have invested a great deal of money and time and energy has been in making sure that we not only have the best overall system performance, but we're there first with reference designs. We've done that more recently with Qualcomm. We tended to go at an OEM customer, use the relationship and our better overall performance and our history, our long history and track record to unseat an incumbent reference design player. We don't want to do that anymore because it hurts us sometimes. Occasionally, we don't win that battle, particularly with some customers who look at it and say look, I'm just following that reference design. I want the first part that works. And even though you have the strengths, I'm running with the reference design. We need to be better-positioned there and we are now, and we will continue to improve that in 2012. So that's where we see competition. You mentioned Avago, that's where we would see Avago being very strong with Qualcomm reference designs. We were less strong. We now believe we're a parity and we're improving that position as we move into 2012.
Operator: Moving along, we'll hear from Todd Koffman with Raymond James.
Todd K. Koffman - Raymond James & Associates, Inc., Research Division: Kind of a sort of clarification. You said the March quarter seasonality, you thought might be down 10% to 15% sequentially, or did I get that confused, Dave?
David J. Aldrich: No, that's right. That's fairly normal, seasonal pattern in our industry, I'd say 10% to 15%.
Todd K. Koffman - Raymond James & Associates, Inc., Research Division: Dave, if it's down 10% to 15% in March, what do you think the industry, given that you're seeing weak demand from your customers now, what the industry seasonality for the December quarter might look like, which I'm guessing would be normally up 10% to 15% sequentially?
David J. Aldrich: Yes, you wouldn't -- and maybe not 10% to 15%. I mean that's a kind of an old market. There was a time when it was up probably firmly 10% to 12%. What we've seen lately, we've seen a little bit less overall seasonality because there's so many new platforms being delivered overall. And from a supply chain standpoint, the business we're in is that we tend to see a very strong September, October, November. Because that's when the stocking is occurring, that's when the building -- and even late August. So it tends to be sort of shared, the seasonal high points between late fiscal Q3 for us -- or late fiscal Q4 and early fiscal Q1 of the December quarter. But from a sell-through standpoint, in the March quarter, you typically see that number down in the 10% to 15%, in terms of the number of units sold. And the supply chain kind of follows that, as people sort of -- as our OEM customers recover from the seasonal high November, December timeframe and then restock.
Operator: And moving along, we will go to Jonathan Goldberg with Deutsche Bank.
Jonathan Goldberg - Deutsche Bank AG, Research Division: So I was wondering, we've talked a little bit about some of your other customers, I was wondering if you could talk a little bit about Samsung ,which you just touched on briefly. It seems like there are at least 2 or 3 of your competitors who have press releases out there tightening share gains there. And I was just wondering if you can give us your take on your share position at Samsung? And also, if you could just discuss a little bit of progress at Nokia?
David J. Aldrich: Well, Samsung was sequentially up for us in September. They'll be sequentially up for us in December. And as Don mentioned, they're over 10% customer. And the specific design -- we've always been very strong at Samsung, and the specific designs we're talking about were on the Samsung II S Galaxy products. And the reason we talked about those is because first of all, they're very popular. They're selling very, very well. They're of very high performance. And it's an interesting example like I mentioned earlier, about reference design, we were not on the first reference design. That product, the early designs went fairly with an Infineon or Intel baseband chipset arrangement and we were not the reference design. As a result of the early rollout of those products, we weren't in those products. We were strong elsewhere, we were not in those products. We've recovered and as I mentioned earlier, we focused on the system-level performance and our strong relationships. And now we have gained the majority of those sockets. So I would say in the Galaxy platform, as we move through the end of fiscal Q1, at the end of December quarter and into the back half of 2012, we will be the majority player in those Galaxy platforms. And that augments what's always been a very strong position for us in their feature phone segment in the low-end. And we're pretty excited about that because we did not like being on the outside looking in. It relates to my comments earlier about, not only being the best overall architectural player, or competitor which has always allowed us to unseat the reference design incumbent. We want to be there with the best performance and we want to be there first, and we needed to fix that in the last couple of years and we're doing that. So I think you should expect on future Samsung products. We will not be having to displace the reference design incumbent. We'd rather be on the reference design.
Liam K. Griffin: Yes and let me also add, Jonathan that Samsung is going to be one of our first customers to ramp with a SiGe WLAN FEM, probably mid-2012. In addition to that, we also have launched a new portfolio of GPS products and we have design wins there. So those will be coming in second half of 2012, but the design win work has been cemented.
David J. Aldrich: Yes. I guess I'd add one further comment since we have a lot of questions about Samsung. We have always been Samsung's largest supplier of RF front-end for years. This Galaxy -- the Galaxy was so popular and since we weren't in the reference design. We didn't like, as I said, we didn't like our position there on that product. We worked very hard to fix that and we have now fixed that. So I think you will see, as we go through 2012, we will be and are the number one supplier going into Samsung.
Jonathan Goldberg - Deutsche Bank AG, Research Division: And then, I was wondering if you could comment on Nokia. I think they still make phones?
Liam K. Griffin: They make a lot of phones. Yes, I mean, Nokia continues to be a very important customer of Skyworks. We've been gaining share for quite a while. We like their new lineup of Windows Mobile phones. Our portfolio there goes all from the low-end to the mid-end to the smartphone space. We expect to be leveraging every aspect of our technology, from multi-mode designs, to low-end GSM, to WLAN, ASM and the whole portfolio. So we expect a good year at Nokia.
David J. Aldrich: We have a solid majority of the 2G products which for them, a very high volume. We had been writing, we've had to write down the Symbian portfolio which is kind of well-understood, but that was also where we had more than 50% share and that's not been a great performer as they've gone through that transition. But we have a great position on the Windows platforms.
Operator: Moving forward, we will go to Sanjay Devgan with Morgan Stanley.
Sanjay Devgan - Morgan Stanley, Research Division: First question is just a quick clarification on the margin outlook for next quarter. Was that 44% to 44.5% or was that 44% to 45%
David J. Aldrich: No, 44% to 44.5%
Sanjay Devgan - Morgan Stanley, Research Division: 44.5%, okay. And then, I guess my follow-up question is looking at the margin profile next quarter as you -- slight tick down, is that more to do with mix. I'm assuming because you talked about weakness in wireless infrastructure, since those are marginally accretive, is that more to do with anything, given your in-line fabs are essentially fully-utilized? And then I guess beyond that, how should we look at margins going forward, is it -- will it be more of a function of mix, pricing or margin improvements in SiGe. I mean, if you can kind of talk to those 3, I'd really appreciate it?
David J. Aldrich: Yes, I mean, the margin, if you look at where the margins are, we do have some reduced volume and revenue that always has some impact on the fixed cost structure. And we've got the layering in. And as Liam talked about with SiGe, the revenue contribution for SiGe and the margin associated with that is slightly below Skyworks' average and then there is some mix change within the infrastructure portfolio. On a go forward basis, we typically say -- and if you go back and look historically, what we contribute for every dollar of incremental revenue. We typically contribute 48% to 52%, so we don't see that changing. We don't see any mixed phenomena out there that's going to change our ability to continue to expand as we add revenue. And that's the right way to think about it and model it.
Operator: Next question will be from Dale Pfau with Cantor Fitzgerald.
Dale Pfau - Cantor Fitzgerald & Co., Research Division: One of the things that I wondered, because of your debt to penetration at all your customers and so on, at what point do you just sort of follow the trajectory of the phone industry or maybe even the smartphone industry, because it's almost impossible to have 100% share sometimes even over 50% share there? And then my follow-up to that is, could you talk a little bit more in detail, about the competitive landscape out there, it looks like there's some shift, looks like we're going to see more shifts next year and how you see that playing out?
David J. Aldrich: Well, I think on the market share side, we're very fortunate to be in a business where the unit volumes continue to expand and the dollar content within those devices continues to expand even faster. So we've got more complexity which is driving despite ASP pressure. Normally ASP pressure, the dollar content continues to rise and the content for us continues to rise as we have now, successfully developed platforms that sits side-by-side with our traditional front-end module business like GPS, like our mobile connectivity and so on. So the market continues to grow. And our share, while it is the highest in the industry, we've got a lot of room to move. We've got a lot of upside potential here. I mean, there are sockets that we're going to go win. There are customers where we're definitely under-weighted in. There are basebands where we are extremely well lined up. And as I discussed, there are basebands where we're only now becoming sort of a formal preferred reference design partner, so we've got a lot of headway to continue to increase. And I think the competitive landscape, Dale, the second half of your question, continues to evolve the way I mentioned earlier. I think in the sort of low-end segment of the market which is getting smaller fortunately, because it's the lowest dollar content, we make money there, but it's the lowest dollar content. You see less performance-oriented, more price-competitive, more price-driven competitors and we compete there with a lineup that allows us to leverage our lowest cost structure. But then as you move up the food chain, it's increasingly performance, performance, performance, so the discrete -- completely discrete companies tend do get hurt and those that can play in various architectural choices of levels of integration, everything from a high-end converged multimode to something in between, a performance-oriented hybrid, to something that is more discrete and very high-performance. We're in each and every one of those sockets and we're finding our competitors to be increasingly niche. Good, but niche.
Operator: And moving along, we will hear from Edward Snyder with Charter Equity Research.
Edward F. Snyder - Charter Equity Research: Dave, you talked about -- you announced today the win at Samsung with the hybrid, the 77606 and 77604. I mean, I wanted to get some idea on timing on these parts. Have they -- are they considered new parts or they have been around production right from the beginning of the year? And I'm trying to focus on some of the displacement that you suffered at the hands of someone like Avago, were these parts in that mix or are they new, they seem to have gained some traction at Samsung and I'm just wondering how prevalent or how powerful they'll be in gaining share back or gaining new sockets in 2012?
Liam K. Griffin: Yes, this is Liam. Well, the devices that were announced relative to Samsung are new products, but they're products that have been fully tested and characterized and they're market-ready. We've done a great deal of work with Samsung. As Dave noted, they're one of our leading accounts, so there's been a great deal of applications support and hand-holding as we've ramped those designs. And as you look at multimode, every customer, every baseband have their nuances. We certainly strive to maximize our exposure with many of these. And much of the time, the work is reference design-related. It's working very closely in the labs, characterization and getting the OEM-specific requirements married up with the baseband and our solutions, so it's a great deal of work across each one of those parties.
Edward Snyder - Charter Equity Research: So were these tools in your quiver, say, a year ago, or are they something that's production ready only in the last quarter or 2?
Liam K. Griffin: No, they’re production ready in the last couple of quarters and they've gone to the design cycle here in the last several months. So I would say, not a year ago, but last several months.
Operator: At this time, we will hear from Aalok Shah with D.A. Davidson.
Aalok K. Shah - D.A. Davidson & Co., Research Division: Most of my questions have been asked. But just -- I want to touch real quickly on the low-end kind of Chinese handset market if I could real quick. It sounds like RDA is taking -- RDA is doing pretty well in that market. I know you guys have Axiom as well, kind of attacking the low-end GSM markets. But I'm curious as to how you guys view kind of the emerging smartphone markets, especially in that geography. Are you guys well-positioned there and can you walk us through maybe how you view the next year for those low-end smartphones?
David J. Aldrich: I think the low-end smartphones is disruptive enough in that market that it really changes the customer set. I'll buy a lot and it definitely changes the supply chain. So I think the companies you're talking about who can compete on the low-end are not going to be successful. They're not nearly as successful on the high-end because it's not of our low. It's still -- even though it's a low-end smartphone, it's still a smartphone. So I think the performance degradation that customers get when they go to some of the companies you mentioned is not something that we're going to accept in the smartphone, maybe okay in kind of a very low-end feature phone, sort of very low-end 2G phone. I also think in the OEM base changes a little bit, because remember, there were literally hundreds of customers, indigenous suppliers in China that had availed themselves of complete service chipset providers like Mediatech and others. And those customers did okay in that market. They were able to have very few people low barrier to entry-level phones. It's not nearly as low a barrier-to-entry when you start talking about smartphone-s. I think it gives an opportunity for the traditional chipset players in China to come up with -- to continue to penetrate that market. But I think the OEMs will need -- the brands will need more investments. So I'd look at strength in big companies in that region, like maybe Huawei, maybe ZTE. I'd look at the foreign brands in Korea and elsewhere in North America to come in strong into that market, leveraging brand recognition and performance. So I think it changes it a lot.
Aalok K. Shah - D.A. Davidson & Co., Research Division: And so, David, my follow-up, if we start to see that market really take off, especially in those geographies, I mean, which I guess, most of what we're expecting it to. How do we view your dollar content going forward in that the mix changes towards more of those types of phones?
David J. Aldrich: The dollar content is really roughly 3x. It's fully 3x in even the lowest end smartphones and what one would expect to see in a low-end 2G or feature phone.
Operator: And at this time, we have no further questions in queue. I'll turn things back over to David Aldrich for any additional or closing remarks.
David J. Aldrich: Okay. Well, thank you everyone for participating on today's call and we look forward to seeing you at upcoming conferences.
Operator: Ladies and gentlemen, this does conclude today's conference call. Thank you for your participation.